Operator: Ladies and gentlemen, welcome to the Tecan Group Full Year Results 2021 Conference Call and Live Webcast. I am Natalie, your Chorus Call operator. [Operator Instructions] The conference must not be recorded for publication and broadcast. At this time, it’s my pleasure to hand over to Martin Braendle, Senior Vice President, Corporate Communications and Investor Relations. Please go ahead.
Martin Braendle: Thank you, operator and good morning ladies and gentlemen. Thank you for joining us for our conference call this morning. We are very pleased to discuss with you the results for fiscal year 2021 and our outlook for 2022. With me on the call are our Chief Executive Officer, Dr. Achim von Leoprechting and our Chief Financial Officer, Tania Micki. Before we start, as always, very briefly some formalities. The corresponding press release announcing our financial results was issued this morning at 6:30 a.m. Central European Time. Both this press release as well as the full 2021 annual report are available on the company website, tecan.com under the Investor Relations tab. The call is being webcast over the Internet as you have heard on our homepage and we have also posted the presentation slides for this call for download. With that, let me now turn over the call to Achim von Leoprechting. Achim?
Achim von Leoprechting: Thank you very much, Martin and good morning and welcome to the Tecan 2021 full year results presentation. Before Tania will discuss the financial results of last year in detail, I will give you an overview of the financial and operational highlights. We are now 2 years into the global coronavirus pandemic, hopefully entering into an endemic period soon. In 2021, we saw the situation ebb and flow as the new variants moved through population, and we saw how the understanding and deployment of innovative vaccine development, diagnostics and surveillance solutions evolved and changed research and clinical practice. I think there is much more awareness now of the significance that underlying health conditions can have and of how illnesses can develop and spread and how they can be dealt with, an overall very important theme for Tecan. Once again, in 2021, I was extremely proud of how Tecan’s employees adapted to the changing conditions and worked with passion and focus to successfully advance Tecan on many levels. And 2021 has been a truly transformative year for us at Tecan, in particular with the acquisition of Paramit Corporation, which puts the business in a stronger position than ever before. So now let’s look at the financial highlights of the year. We are very pleased to report a highly successful fiscal year with revenues reaching CHF946.6 million and a sales growth of 29.6% in local currencies. Organic growth was 14.1% in local currencies. COVID-19-related products contributed mainly to sales in the first half of the year but also we saw a rebound and some pent-up demand for products for non-COVID-related research and clinical applications. There was no meaningful contribution from COVID-related systems and instrument components in the second half of the year and sales declined as expected, but demand for pipette tips continued at elevated levels. Reported EBITDA increased by 28.6% to CHF204.6 million. And when adjusting for acquisition-related costs and a onetime pension plan effect, it grew to CHF214.5 million. Obviously, when we gave guidance in March a year ago, this did not include Paramit. When excluding Paramit, therefore, on a comparable basis with our updated outlook of August last year, the EBITDA margin increased to 23.1%, meaning that we met the outlook of expanding the EBITDA margin to at least 23% of sales on a like-for-like basis. We’re also very pleased to report that the net profit increased by 17.3% to CHF121.7 million. Accordingly, reported EPS grew to CHF9.95 and adjusted EPS to CHF12.89. Lastly, the cash flow from operating activities reached CHF169.9 million, corresponding to 17.9% of sales. Now, let me comment on the operational highlights of the year. The acquisition of Paramit Corporation was the largest transaction in Tecan’s history and for us, the main headline of the year. It brought us significant engineering capabilities and cost competitive manufacturing scale in both North America and Asia, and I’ll say more about this later on. In 2021, we also introduced new lab automation solutions and reagents in key research and diagnostic applications and new digital offerings. We continue to invest significantly in R&D and we were able to keep development projects on track even through the various waves of the pandemic by using tools such as advanced 3D simulation. At the beginning of 2021, Tecan became one of the first companies to meet the requirements of the European Union’s In Vitro Diagnostic Regulation, IVDR, which is a major regulatory overhaul. It requires reclassification and certification of all IVD assets and devices that are EU registered. And by completing our own certification successfully, we can now also help OEM partners ensure that they are IVDR ready. Later in 2021, we had a U.S. Food and Drug Administration, FDA audit at Paramit, which was the first time Paramit had been audited by the FDA. It was a pre-approval inspection for manufacturing a new Class 3 medical device for an OEM partner, and I’m happy to say that the audit was successfully concluded with no formal observations at all. The preparation for the audit showed great teamwork between the existing team and our new Paramit colleagues. And of course, this is something we expect to see more of across all functions in 2022. I’ve talked before about how important it is to have an inclusive trust-based, purpose-driven workplace culture and how – and we know this is a strength at Tecan, something to build on in 2022, and again, I will say more about this later on. For now, I’d like to hand over to our CFO, Tania, for a more detailed look at the 2021 financial results.
Tania Micki: Thank you, Achim, and good morning, ladies and gentlemen, from my side as well. I’m delighted to present to you our financial results for the full year and the second half of 2021 in more detail. With the Paramit acquisition and the consolidation of the company into the Tecan financials from August 2021 onwards, I will provide you with both the organic and total performance for many of the key figures. Starting with order entry and sales, full year order entry increased by 12.9% to CHF965.4 million. That’s an increase of 13% in local currency. You probably recall the surge in orders we reported for 2020 for product lines supporting the global fight against the coronavirus pandemic. Therefore, we are happy to report that on an organic basis, that means excluding Paramit’s order entry in the last 5 months of the year, order entry was only down 1.5% in Swiss francs and 1.4% in local currencies year-on-year. The effect of these high COVID-related orders in the prior year period that I have just mentioned was particularly visible in the second half of 2021. Here, organic order entry was 18.4% below the prior year figure in Swiss francs and 18.6% in local currencies. Including Paramit, however, order entry grew by 7.2% in Swiss francs and by 6.9% in local currencies in the second half of the year. As order entry exceeded realized sales also on an organic basis, the order backlog, excluding Paramit increased in the low single-digit percentage range to reach a record high as of December 31, 2021. Including orders from Paramit, order backlog even grew at a substantial double-digit rate. Sales for fiscal year 2021 climbed by 29.5% to CHF946.6 million. This corresponds to a growth of 29.6% in local currency. On an organic basis, sales grew by 14% to CHF833.3 million or by 14.1% in local currencies. Organic sales growth was also driven by a rebound and some pent-up demand for products for non-COVID-related research and clinical applications. COVID-19-related product lines contributed mainly to sales in the first half of the year with no meaningful contribution from COVID-related systems and instrument components in the second half of the year. This is very much consistent with the comments I made in the half year – first half year results webcast last August. Demand for pipette tips continued at elevated levels throughout the year. The sales are based on the larger installed base of instruments with broad test menus. That means these instruments are used for ongoing COVID-19 testing but also for a variety of other tests. With the first time revenue contribution of CHF113.3 million from Paramit, sales in the second half rose by 17% in local currencies and by 16.6% in Swiss francs. As expected, and flagged in our updated guidance from August, organic sales in the second half of the year declined by 9.9% in Swiss francs and 10.2% in local currency. This is obviously against a strong base in the prior year period. Looking now at the sales performance of our two business segments. Sales in the Life Sciences business segment increased by 18.7% to CHF485.1 million. In local currency, they were 19% above the prior year period, just pointing out that the performance of this segment is purely organic as Paramit was consolidated into the Partnering Business. As I mentioned in the call in August, in the first half of the year, the Life Sciences business continued to see a strong revenue contribution from products supporting the COVID-19 response. The demand was mainly for liquid handling and automation workstations. Demand for the associated disposable pipette tips continued at an elevated level throughout the year. We also saw that the coronavirus pandemic has structurally reshaped many laboratory processes leading to a higher overall demand for automation in other application areas as well. As a result, sales in this segment also benefited significantly from a recovery in other areas, including liquid handling and automation workstations for various life science research applications, but we also saw a higher demand for detection instruments and research reagents for next-generation sequencing. This trend was most evident in the second half of the year as sales in other areas nearly offset the significant COVID-related sales in the second half of 2020. Next to this strong underlying performance, sales in the second half of the year decreased by only 2% in Swiss francs and 2.2% in local currencies. Order entry in the Life Sciences business was slightly below the prior year period but still exceeded reported segment sales in the fiscal year 2021, which means we built out the backlog. The Partnering Business segment generated sales of CHF461.6 million in the full year 2021. This corresponds to an increase of 43.3% in Swiss francs and 43.1% in local currencies. In this segment, we have to differentiate between organic and total performance. On an organic basis, that means excluding Paramit sales in the last 5 months of the year, sales rose by 8.1% in Swiss francs and 8% in local currencies. Similar patterns to the Life Sciences business that I have just explained were also observed in the Partnering Business. That means that in the first half of the year, we still recorded a strong sales contribution with automation platforms and OEM components supporting COVID-19 testing. Also in this segment, the possible pipette tips demand stayed at high levels throughout the year. In the course of the year, the demand for automation system in other areas of in vitro diagnostics recovered markedly and helped to offset the strong sales contribution from COVID-19-related systems in the prior year period. But as expected, the base effect for the Partnering Business was more pronounced compared to the Life Sciences business in the second half of the year. Therefore, organic sales decreased by 20.3% in Swiss francs and 20.6% in local currencies. However, including the first-time sales contribution from Paramit, total segment sales increased by 42.1% in Swiss francs and 41.6% in local currencies in the second half of the year. Now looking at sales development in the different regions on Slide 9, as I have just mentioned, we still saw a strong demand for COVID-related products mainly first half of the year, and it also deferred in the region. Starting with Europe. In Europe, full year sales increased by 27.1% in Swiss francs and by 25.9% in local currency. Organic sales grew by 16.6% in Swiss francs and by 15.5% in local currencies. The organic sales performance was driven by the Life Science business, which recorded growth of 26.9% in local currencies, while sales in the Partnering Business grew by 1.7% in local currencies. In the second half of the year, sales in Europe increased by 17.5% in Swiss francs and by 17.2% in local currencies. Excluding Paramit, sales declined by 2% in Swiss francs and 2.1% in local currencies in the second half year. Performance of the 2 segments differed quite substantially. Despite a strong base in the prior year period, Life Sciences business achieved sales growth of 3.8% in local currencies in the last 6 months of the year, while organic sales in Partnering Business declined by 10.7%. Moving to North America, sales grew by 35.9% in Swiss francs and by 38.5% in local currencies in 2021. On an organic basis, full year sales increased by 11.1% in Swiss francs and by 13.2% in local currency. Similar to Europe, the organic sales development was driven by strong growth of 22.4% in local currencies in the Life Sciences business, while the Partnering Business grew by 2.4%. In both business segments, sales development in the second half of the year was significantly impacted by the pandemic-related surge in demand in the second half of 2020. Due to the high basis of comparison, sales in the Life Sciences business declined by 3.6% in local currencies, while organic sales of the Partnering Business segment fell by 39.3%. Including Paramit, sales in the second half grew by 19.6% in Swiss francs and 19.8% in local currency. In Asia, we recorded an increase in sales of 23% in Swiss francs and 20.6% in local currency. On an organic basis, sales grew by 19.1% in Swiss francs and by 16.8% in local currency. Sales development in Japan was particularly strong partly due to increased COVID testing in the context of the Olympic Games. Organic sales in China were lower than in the prior year period due to the high basis of comparison. You likely recall my comments regarding the COVID testing tailwind we had seen in 2020. This was also reflected in the fact that the Life Sciences business only grew at a rate of 1.1% in local currencies. While the Partnering Business reported strong organic sales growth of 39.5%. In the second half of the year, total sales in Asia increased by 14.1% in Swiss francs and 12.2% in local currencies, while organic sales grew by 7% in Swiss francs and 5.2% in local currencies. Organic sales development in the second half was driven by the Partnering Business with growth of 20.9% in local currencies, while sales in the Life Sciences business declined by 4.6%. Our next slide addresses our gross profit. Gross profit increased to CHF408.6 million, which was CHF53.7 million or 15.1% above the prior year figure. The increase was driven by the higher sales volumes. Gross profit margin was significantly impacted by the Paramit acquisition. There are 2 factors to consider here: First, Paramit came in with a different gross profit structure. It is significantly lower due to the business model as they charge almost everything to the customer, which means they don’t have a lot of OpEx; second, we had to amortize for acquired backlog. This is part of the amortization of intangible assets. The impact here is quite significant the amortization period is only 6 months. Therefore, the amount that is included here in gross profit added up to CHF13.6 million for the 5 months, August to December. Excluding Paramit, the gross profit margin would have been only slightly below the prior year level. Including the impact of the Paramit acquisition, the reported gross profit margin was 43.2% of sales. In addition to Paramit, there were several other factors impacting the gross profit margin. The main ones were the negative effects from higher freight, logistics, inventory-related and material costs. You heard me already talk about higher rates from forwarders on these calls before. As in prior years, being a positive factor, you were again able to increase prices, and also our product mix had a positive impact on the GP margin. On the next slide, some comments regarding our cost structure. Overall, our operating expenses grew substantially less than sales and totaled CHF234 million or just 28.3% of sales in 2021. This compares to the 32% of sales in 2020 and clearly, for some economies of scale here. But also to clarify, all costs include the cost of the acquired Paramit Corporation for the 5 months from August to December 2021. Sales and marketing increased by 13.4% and we continued our investments in the market unit. That means in our sales channel on the ground as well as for our e-commerce platform. As a percentage of sales, they reached 12.7% of sales, which compares to 14.5% in 2020. At an absolute level, net research and development expenses increased to CHF71.9 million. That’s an increase of 15.8% and more than the increase of organic sales. As a percentage of sales, R&D was at 7.6% of sales below the 8.5% in 2020, but this was due to the Paramit sales that came with basically 0 R&D costs. Overall, R&D activities and gross expenses what we call gross R&D were also higher compared to the prior year period. This includes capitalization of development costs and customer funding of OEM projects. Capitalization of development costs decreased to CHF9.3 million, which obviously also has a relevance for the EBITDA development. Both R&D was at CHF86.8 million or 9.2% of sales. Also, we like to point out that figure as an indicator for further sales growth stemming from the whole innovation pipeline of the 2 segments. General and administration expenses increased pretty much in line with organic sales, it was mainly related to the corporate development activities. As a percentage of sales, G&A costs decreased to 8% of sales. Now looking at the EBIT and EBITDA development in more detail, our reported EBITDA, the earnings before interest, taxes, depreciation and amortization rose by 28.6% to CHF204.6 million in the fiscal year 2021. Keep in mind that reported EBITDA includes all transaction and acquisition-related costs in connection with the Paramit acquisition, that’s CHF7.3 million. Also to clarify, the onetime positive effect and adjustment of the Swiss pension plan we had to report in the first half of the year, we reversed this gain in the second half of the year as we switch to an alternative pension scheme. I had also mentioned this high likelihood of a reversal in the call in August. The reported EBITDA margin reached 21.6% of sales. If we adjust for the transaction and acquisition-related costs and onetime pension plan effects, adjusted EBITDA increased by 37% to CHF214.5 million. The adjusted EBITDA margin accordingly, increased by 130 basis points to 22.7% of sales. This increase was mainly driven by benefits of scale due to the significant increased volumes and total operating costs that grew at a lower rate than sales, a favorable product mix of instruments as well as a higher contribution from consumables and spare parts, as just discussed on the previous slide. Our guidance in March obviously couldn’t include Paramit as we signed the agreement to acquire them only in June. Therefore, we also want to provide you with a like-for-like comparison to this guidance and the update we gave you in August last year. So excluding Paramit that means on that comparable basis, the EBITDA margin increased to 23.1%. We thus met our communicated outlook of expanding the EBITDA margin to at least 23% on a like-for-like basis. Now, looking at the operating profitability on the segment level. Reported EBIT in the Life Sciences business that’s earnings before interest and taxes rose by a strong 32.7% to CHF103.7 million. Operating profit margin accordingly increased to 19.9% of sales that’s 250 basis points above the 17.4% in 2020. This positive performance is primarily a result of sales growth, a favorable product mix and the operating costs that grew at a lower rate than sales as discussed. Reported EBIT in the Partnering Business remained basically unchanged at CHF59.2 million, while the operating profit margin reached 12.8% of sales, below the 18.3% in 2020. Obviously, here, you need to keep in mind my comments so far regarding the integration costs, and especially the amortization of required intangible assets. Recall, for example, my comments before regarding the amortization of the acquired backlog in the amount of CHF13.6 million. This caused for the group recognized in the Partnering Business segment. And it for sure, had a lasting effect on the reported operating result for the segment. Excluding these acquisition-related effects, we saw an underlying increase in profitability that was due to economies of scale resulting from higher volumes and a favorable product mix. Now reported net profit on this line. Reported net profit for the year 2021 rose by 17.3% to CHF121.7 million. This figure does include all transaction and acquisition-related costs in connection with the Paramit acquisition. I mentioned CHF7.3 million. It also includes the accumulated amortization of acquired intangible assets in the amount of CHF24.6 million. Reported net profit increased less than reported EBIT as we recorded a lower financial result due to currency hedging losses that were partly related to the Paramit acquisition. Moving to the next slide with earnings per share. Reported basic earnings per share increased by 14.5% to CHF9.95. If adjusted for the factors I have mentioned before, adjusted earnings per share reached CHF12.89. On the basis of the further increase of net profit in 2021 and an ongoing positive business perspective, the Board of Directors will propose at the company’s Annual General Meeting on April 12, 2022, an increase in the dividend from CHF2.30 to CHF2.80 per share. Half of the dividend, that means CHF1.40 will be paid out from the available capital contribution reserve and is therefore not subject to withholding tax. We continue with the cash flow on Slide 16. Cash flow from operating activities reached CHF169.9 million. This corresponds to 17.9% of sales. And DSO, the days sales outstanding were pretty stable at 43 days when excluding Paramit, and they were at 47 days when in closing. You can see some of the elements I have mentioned before here as well, for example, the increase in amortization as discussed mainly from acquired intangible assets. The cash flow from investments is obviously heavily impacted by the acquisition of Paramit. Also, the reduction in investments in time deposits is related to the financing of the acquisition. Those two are by far the biggest drivers here. Moving on to the cash flow from financing activities, this figure includes the CHF357.5 million from the placement of new shares to partly finance the Paramit acquisition. It also includes the net proceeds of CHF249.4 million from the bond issuance for the same reason. It also includes the dividend payments we made in April 2021 in the total amount of CHF27.6 million. I also want to point out that we were in a net debt position at year-end. However, despite our $1 billion acquisition, this net debt position was only at CHF9.2 million. So it’s fair to assume that by now, we are back to a net cash position again. With this, I now hand back over to Achim von Leoprechting again. Achim?
Achim von Leoprechting: Thank you very much, Tania. And looking ahead at 2022, I’d like to have a look at our focus areas and the outlook for the rest of the year. I mentioned already that I’d talk more about Paramit and about workplace culture. I’ll give you an overview of our sustainability priorities, operations, product development, and I will also highlight a special upcoming product launch. I’ve talked about the importance of the acquisition of Paramit, the scale of what this brings to Tecan and that the acquisition provides us with a strong and scalable platform for future growth in the life sciences and IVD end markets, and Paramit now opens also a new market segment vertical called Medical Mechatronics for Tecan going forward. The highlighted successful collaboration of the Tecan Quality Assurance and Regulatory Affairs team that worked alongside with their new Paramit colleagues in the preparation for the FDA audit reflects the shared values that we have. We see a strong common customer-centric and collaborative culture that apparently provides a solid basis for the integration of the teams. One of the first operational steps in this integration is moving Tecan’s OEM Cavro components business from San Jose to the Paramit facility in Morgan Hill, California. There is a growing demand for these enabling Cavro products and the move will allow us to expand our production capacity. A great advantage here, the two sites are only 30 minutes apart. So the transfer for employees and of product is made much easier. We would also be transferring production of some products from San Jose to the Penang facility, the modern factory in the forest that you can see on this slide here on the right-hand side, in Malaysia. We are making very good progress in executing a joint commercial strategy that aims at attracting new customers, particularly in the U.S., leveraging Paramit’s strong market position in this region, and we will also broaden Paramit’s business in Europe and the Asia Pacific region through the well-established Tecan Partnering commercial channels. With the acquisition of Paramit, we also revisited our purpose statement for Tecan, to reflect that we now reach all the way from the research lab and into the clinic. We know that clarity of purpose is increasingly important, so we’ve incorporated input from employees, customers and partners to make sure we properly articulate what we do and how we add value to society. We feel this clarity is essential in driving our strategy, business processes as well as attracting and retaining best-in-class employees. But it’s not just about attracting talent, it’s about making sure that we provide that positive workplace culture I mentioned earlier, investing in our people so that they have opportunities to develop locally and globally. We have internal employee survey results, telling us what we’re doing well and where we can still improve. We are building on these learnings and apply the best practices also to our newly integrated colleagues of Paramit. We also look closely at what data we could collect that would enable us to learn beyond the survey data, for example, around diversity and inclusion. While we acknowledge that it takes time to build a suitable measurement system, especially for the subjects, is clearly in our commitment to demonstrate in our daily practice that we truly value diversity and the quality of opportunity. This leads well into a look at our sustainability focus overall. Managing our social impact as an employer is a key area, as I’ve just described. And we also have priorities and measurable targets in the areas of environmental impact and governance. Governance, of course, includes areas that have been a strength of Tecan for many years and even with the environmental impact, we’ve taken some significant steps in the past years already, like calculating the total cradle-to-grave emissions impact of key products like the Fluent system and offering these with a carbon-neutral certification. In 2021, we took this to the next level and started to calculate our total carbon footprint so that we can set a science-based emissions target and map out a path to net-zero emissions. We’ve signed the science-based target initiative commitment to the target and the reduction pathway will be verified by them, and we’ll be communicating more about this as the work progresses. For more detailed information on our broad program, I would like you to point you to the new sustainability report that was also published today. Beginning the transition to a low-carbon future aligns with our emphasis on ensuring we have resilient operations. The operations team has done a fantastic job in these past years of enabling us to meet our customer promise despite a challenging environment. We put in place a number of measures to expand and safeguard our operational capabilities, and you can also see here the positive developments such as the fully automated pipette tip manufacturing lines in the U.S., which are coming online in the first quarter of this year. Our operations team is highly experienced and dedicated, and we are confident we’ll be able to provide best-in-class support to our customers also in 2022. We will continue to invest substantially in research and development in 2022, and this will position the business for sustained accelerated growth. Our focus remains on the defined core applications, genomics, protein analysis and cell and tissue analysis as well as selected medical procedures. We will continue to increase our modular systems offerings for complete solutions also with enabling reagents, functional consumables and innovative software products. Digitalization overall is an ever-growing element of our R&D activities, which in this field includes intelligent automation controls, cutting-edge user interfaces, smart components, cloud-based application support and service digitalization. Those programs aim at constantly improving product usability, cost of ownership, quality and design for regulatory compliance. All of these factors are important competitive differentiators for us at Tecan. We have several projects nearing market launch in all business areas, both in our Life Science division as well as in our Partnering Business, including Paramit. We see significant revenue potential for the expansion of existing solutions and new products in both of our business divisions. Launching our own new product and supporting OEM partners with their upcoming market launches, therefore, is a key priority for this year. So now let’s take a closer look at one of these new offerings. I’m very excited to announce for the first time the upcoming launch of the MagicPrep NGS platform. This is truly an innovative new platform for sample preparation for next-generation sequencing, which is a key application in the broader field of genomics. MagicPrep NGS is a ‘load and go’ lab appliance that combines automation, reagents and consumables for low throughput DNA and mRNA library preparation. 2 weeks ago, I had the pleasure to use MagicPrep NGS myself in our labs at Tecan Genomics in California. With some simple steps to set up the instruments that took me about 10 minutes, I just loaded the instrument, pushed one button, and that was it. The result of a DNA library preparation for NGS came out just a few hours later without any additional user attention, ready to be sequenced. This is not only perfect for CEOs but also for labs, especially in academia that want to scale their research in this growing application field of DNA and mRNA sequencing and to get that level of reliability with an incredibly easy-to-use instrument at an affordable cost. We believe that the more than 99% consistent mean success rate is an impressive value and differentiator. So please stay tuned. The launch of this new solution is imminent. Let me now move to the financial outlook for 2022. What we are seeing in the various end markets indicates a continued healthy market environment for Tecan in 2022. We don’t expect a meaningful contribution from additional COVID-related systems and instrument components as we’ve already seen that demand drop in the second half of 2021, although we do expect consumables to stay at elevated levels of demand because of the larger installed base of instruments that have broad test menus and this would include use for ongoing COVID-19 testing and surveillance. We expect the continued recovery of non-COVID-related areas and we are confident of organically offsetting most of the COVID-related sales from 2021. Together with the good underlying growth expected for Paramit, we forecast sales growth in the mid-teens percentage range in local currencies for the full year 2022. This is assuming no major supply chain disruptions and that all production sites stay fully operational. But as I described earlier, we have confidence in the resilience of our operations. We look back at the recent 2 years where we could generate substantial EBITDA margin improvements, including net tailwind from COVID testing, the associated volume leverage and some other extraordinary effects. Many of those effects are expected to normalize again in 2022. So for 2022, we expect an adjusted EBITDA margin, excluding acquisition and integration-related costs at around 20% of sales, which includes Paramit at an EBITDA margin of around 18% of sales and is well above the pre-pandemic level of 19.3%. Integration and acquisition-related costs are expected to be in the mid-teens of millions in Swiss francs and the accumulated amortization of all acquired intangible assets is expected to amount to CHF20 million to CHF25 million. Beyond 2022, based on a strengthened market position and the combined business with Paramit, Tecan expects to continue to outpace the average growth rate of the underlying end markets with an average organic growth rate in the mid to high single-digit percentage range in local currencies by continuously improving profitability. The expectations regarding profitability are based on an average exchange rate forecast for full year 2022 that you see as always at the bottom of this slide. And again, the outlook for 2022 does not take account of any potential acquisitions during the course of the year. So before we move into the Q&A, I’d like to conclude the presentation by saying that Tecan is well positioned for 2022 and beyond. After a transformative year, we can say that we empower our customers to scale healthcare innovation globally from Life Sciences, all the way to the clinic. We’ve significantly widened Tecan’s capabilities and the Paramit integration is well underway to deliver top line and cost synergies. The pandemic has structurally reshaped lab processes, driving demand for automation, and we have important product launches in both business segments that will enable us to meet customer demand as well as substantial R&D investments to position the business for sustained accelerated growth. Despite the changes of working through the various waves of the pandemic, our employees rated Tecan A Great Place To Work and one of the best large workplaces in Switzerland, and we scored even higher on the Global Engagement Survey Trust Index in 2021 than in 2020. So we know that our employees are motivated and engaged, and we are going to continue our strong focus on being the employer of choice, offering talent and leadership development and promoting diversity and inclusion. We’ve embedded sustainability further into our business processes and have aligned the focus areas with our business priorities. This includes our commitment to play our part in implementing the transition to a low carbon economy. Our sustainability report is part of our annual report, so please do take a look at this and see what else we’ve got lined up for 2022 and beyond. We are delighted with the results we’ve been able to share with you today. And in 2022, we are anticipating another year of substantial sales growth with revenues well above CHF1 billion. So with this, thank you very much for your attention, and let’s open the line for Q&A.
Operator: [Operator Instructions] And the first question is from the line of Daniel Buchta from ZKB. Please go ahead.
Daniel Buchta: Yes. Thank you very much. Good morning, Achim. Good morning, Tania. Two questions from my side. The first one maybe on your mid-term outlook, very interesting to see that you expect in the midterm to be back to a mid to high single-digit percentage organic revenue growth basically? Can you indicate a little bit more on how you expect the phasing in that regard? I mean, for example, will the year 2023 already be in that range because of what we see now with a weaker 2022? Or will ‘23 maybe also still be affected to some way because, for example, you mentioned the consumables, which are still benefiting to some degree, maybe from corona. Here a bit more color on the phasing would be pretty helpful. And then the second question probably to you, Tania, on your margin guidance. I mean, at least compared to my estimates and also to consensus, the guidance of around 20% EBITDA margin looks at least, I would call it pretty cautious, I mean and even if we exclude the Paramit margin dilution. Why such a low margin, put it that way. I mean, what are the factors really causing the margin to come down so materially already in 2022? Thank you very much.
Achim von Leoprechting: Yes. Thank you very much, Daniel, and maybe I’ll start with the mid-term outlook question. And I mean, clearly, as you indicate, it’s a mid-term outlook. So I probably don’t want to get into kind of dissecting the years and how we think about the plan. But you probably heard from my explanations that we are very confident and positive about the overall ability of Tecan to now enter and scale into the segments in Life Sciences, in Diagnostics and with a new vertical into medical devices or medical mechatronics, as I said, and very pleased with the development also of our ability to attract new partners and new customers across the board. You’ve seen, of course, the dynamic already starting in the second half of 2021, where particularly in the Life Sciences side, you’ve seen very strong kind of influx of new clients across the board in all regions. But also in the Partnering division there, I add both the, I would say, core OEM business, and Paramit, we’re seeing a very good influx of new programs and new interest in development and also production opportunities as well as a very strong momentum for our cargo components, which, as you know, kind of find their way into systems that Tecan typically does not engineer and produce as a system. Now having said that, I think we feel very good also about the ability to launch new and competitively highly differentiated product. You just heard me talk about the MagicPrep. And then similar on the other product lines, in Life Sciences and Partnering very pleased with the cadence of new products that will come to market. As always, when you’re entering new territory, sometimes it’s hard to predict how far these products will gain market traction. And in the OEM world, typically, this is with our partners and our own world, I think we have a bit more fate to us, which is why we are investing in sales and marketing and field service, as you know. So I think with what COVID and the dynamic brought to us is in the kind of highest level, a very well-funded market recognition of an innovation leader and a very reliable partner on a global scale, and this is something that makes me feel very confident that we are able to continue to leverage that market position with the investments in R&D, as I said, and with the, I think, very high amount of new partners that want to work with us both in our direct product business and [indiscernible]. So as I said, I think let’s just take it as a kind of midterm outlook. And you know us, we will do everything to accelerate the growth wherever we can. We’ve not been in holding anything back in the past 2 years, and you can expect the same behavior from us going forward to be as aggressive as we can to take advantage and position these new products in the respective end markets.
Daniel Buchta: Thank you.
Tania Micki: And I will take, of course, the second question you had around the margin guidance. So on the organic side, we – I have flagged before the OpEx normalization. And if you recall, I was saying in the past normal range on the old Tecan is around 32%, 33%. And we expect to be in that range again in 2022 more towards the upper end as we have to catch up with some build-out of, as I always said before, service personnel essentially to serve the higher installed base of instruments. That alone will be up to 2.5 percentage points of higher OpEx compared to 2021. And we also expect higher COGS. Net effect so far, we have embedded is around 1 percentage point of inflation. And you have seen, I mean, the development of the material and the labor inflation rates, they are quite significant at the moment. So I think that’s something that will hit us quite significantly and more than in the past. And lastly, we are consolidating now Paramit for a full year with around 18% margin. But keep in mind that despite all these factors, we are still at a substantially higher margin level compared to 2019, so pre-pandemic and in line actually with the development that we have planned, maybe even a year or 2 in advance from that perspective.
Daniel Buchta: Okay, thank you very much, Tania. Very interesting details.
Operator: The next question is from the line of Maja Pataki from Kepler. Please go ahead.
Maja Pataki: Yes. Good morning. Two questions to Tania, please as well. Thank you very much for giving us the indication on the margin. But just trying to understand, you’ve been talking repeatedly about the economies of scale throughout this presentation, but also in the past. And now you said that organically, you’re moving back into the range of 32% to 33%. Does that mean that the economies of scale despite the fact that you’re going to organically remain on a high level are not going to be seen on the operating side? Somehow I just – one would expect to see the scalability also impacting OpEx going forward? Or are you trying to tell us that it’s 2022. And as of 2023, we might be looking again more at the lower end and potentially at some point in time to go below 32%? And can you – I mean, I think you just said that you’re having a 1 percentage point from increased costs due to freight and other inflationary headwinds embedded in your guidance. Is that correct or did I just misunderstand that?
Tania Micki: Maybe I’ll start – and good morning, Maja. Maybe I’ll start with the second question because it’s probably the easier one. So it’s an increase in net. So after all, of course, price increases and the mix effect that we have embedded in our planning and forecasting. But yes, it is a net effect of 1 percentage point, yes.
Maja Pataki: Okay. Do you…
Tania Micki: This is not just – sorry. This is not just freight, right? I mean this is also a little bit back to your first question. This is also a significant material and labor rate increases that we are seeing at the moment. That’s a development that very much started in Q4 last year, which was and is much stronger. And the energy price is how much they are increasing at the moment. It’s not just the freight. I mean, labor inflation is quite significant in the U.S. and in China. And we are, of course, seeing that and this all started in Q4 last year. So when we actually had our guidance in August last year, we were most – probably more positive because we did not see such an increase yet. And this increase that we have seen in Q4 is even getting stronger and stronger as we see it in the last few weeks. So there’s still a lot of uncertainty around it for us. And of course, I mean, we will make sure we will make everything sure that we can deliver better, if possible, but we prefer to take the situation as it is at the moment with the information that we have at the moment.
Maja Pataki: Thank you, Tania. And maybe just quickly a follow-up on that. We had some companies that have also talked about the fact that it is possible that if inflationary headwinds remain on those levels, there might be a need for additional wage increases throughout the year. Is that something that we should also bear in mind for Tecan with regards to the U.S. and China?
Tania Micki: So again, I mean, to your point, we do not want to try to do a sort of increasing now, increasing later. So we are trying to anticipate it already now as much as possible. But of course, we don’t know how things will develop in the next 6 months, 6 to 9 months. And if we have to retain people, which are important for the company, we will have to consider. Nevertheless, again, we are now – we have looked at it very carefully at the moment, and we believe that we captured most of it now.
Maja Pataki: Okay, fully understood. Thank you.
Operator: The next question is from the line of Chris Gretler from Credit Suisse. Please go ahead.
Chris Gretler: Thank you, operator. Good morning, Achim and Tania. I have also a few questions. Maybe starting off with the COVID-related systems in ‘21, could you maybe indicate how much approximately, so that we can maybe get a better sense about your underlying ‘22 guidance?
Achim von Leoprechting: So – hi, good morning and thanks for the question. So looking at the overall COVID – as you know, it is hard for us to calculate that now because, I mean, as you know, with our open systems and platforms and everything, it is with a multipurpose aspect of automation systems and pipette tips is increasingly hard and if not impossible. But we try to approximate the effect of it. And the number that I would say it’s still in the last year number what was again around CHF150 million to CHF160 million maybe in that range in last year, which is comparable to the year before. And which is why I think when you look at the dynamic very pleased with the recovery of the non-COVID markets to compensate and outgrow the expected effect that we described for particularly the H1 results for instruments and carve components and with a bit of a kind of mixed picture on the consumables. However, I think just for your calculation, that is roughly the space that you could probably envision. But don’t pin me down at it by product because, as I said, our instruments and our consumers are multipurpose and are not COVID-only products.
Chris Gretler: Okay. But if I look at your ‘22 guidance, it’s essentially kind of, if I strip out Paramit, it essentially comes down to roughly flat sales growth and you guide from mid to high single digit, midterm. Is the delta approximately kind of this mid to high single-digit sales, so that’s not something like on a base of CHF900 million, maybe something like CHF70 million. That’s kind of the headwind? Is this the right way to think about this?
Achim von Leoprechting: I mean, clearly, I mean, we have to compensate the amount of revenues that I just said, which is, I think deep step-up both from the Life Sciences and Partnering division. However, we are very pleased with the dynamics. So you’re right. I mean it is the environment that we’re in right now. And that’s why I was particularly pleased with the ability now to also not just grow with existing partners but also what we’re seeing new partners and new customers, both in Life Sciences and Partnering coming our way. And of course, with the new products that we are launching, that is giving us a lot of, I would say, ammunition to mitigate the COVID effects and very pleased with the development. I just mentioned, yes, MagicPrep NGS for the Life Sciences division, but equally on the Partnering side, a very nice cadence, but also including very meaningful new platforms coming to market or have just launched. And that, of course, gives me the confidence for 2022 and beyond. But clearly, I mean, as we all know, 2022 just started, a lot of dynamics around us, but maybe you hear from my voice that we look at it positively. And we feel, particularly from the operational side, well covered as of course, we can’t kind of foresee any other macroeconomic or geopolitical events at this moment.
Chris Gretler: Yes. No, no, I mean the world is always uncertain, and I appreciate that. Now my second question would be on the mid-term margin guidance. And basically, first of all, you’re not for providing mid-term guidance, which I think is very helpful and reassuring and maybe could you just maybe specify a bit this wording of improving – continuously improving profitability. Is this something like a 0 to 50 basis above just to get a bit of outset roughly we should be thinking about with respect to leverage and productivity gains, etcetera?
Achim von Leoprechting: Yes, and thanks for the question again. Maybe I’ll start, and then Tania can give you a bit more color around what we’re seeing, but maybe also combining it with a question that Maja asked before on all what we see in operational efficiencies and improvements. So I mean, clearly, I mean, we are constantly kind of working on efficiency gains, but maybe the lever is somewhat different also between the divisions what you can expect. And this is why I just want to make sure that we kind of recall that the 32%, 33% OpEx range that Tania mentioned before, was more the kind of normalization for 2022 based on the core Tecan and not for the business, including Paramit, of course, Paramit is on a much, much lower level. And this maybe brings me to the comments, I mean when I think about efficiency gains, of course, in operations, Paramit now gives us a superb platform. And you heard us talk about the transfer of the Cavro components business into Penang and Morgan Hill already is one of an important element. But clearly, just also combining supply chain efforts between Paramit and Tecan we see as a great other kind of basket of opportunities. And then lastly, looking at the volume effects, and they are obviously in maybe declining ranking order, most pronounced on the Paramit business, where we are coming, as Tania said, roughly from an 18% EBITDA line. But I mean based on their cost structure, growth and new customers and new partners coming online, of course, have more – probably the most pronounced effect. The second would be the remaining Partnering division, which also as you know, historically, has been running on a pretty low OpEx envelope, and we continue to look at it that way, very focused key account management and global deployment of technical resources. But again, there of course, volume and new partners play a major role. Where in our Life Sciences division, we always have to add more service, sales and marketing as we grow and launch new products. So, it is a kind of mixed envelope and we look at each of these categories including operations and global footprint to constantly optimize. And as you have seen in the past, I think we have a good track record to do that year-by-year and we see a very good range of opportunities in 2022 already and going forward, again, with all the disclaimers on material cost and inflation and energy prices. But maybe, Tania, you want to give a bit more color?
Tania Micki: So, I will first answer that question specifically, and maybe I will come back also to the question of Maja around the OpEx and the economies of scale and how we actually embedded that. So, as Achim mentioned, yes, of course, from an improvement perspective, we are expecting, on average, the 30 basis points to 50 basis points improvement that we embedded in our planning in the pre-pandemic time. And we are intending of optimizing as aggressive as possible. So – but again, we did not expect that high level of cost and labor inflation that we have seen. And coming back to the economies of scale question, I mean we do have a lot of the economies of scale still embedded in the gross margin. That is the reason why I mentioned only 1% net increase, if you have seen the material prices are coming up to 8% in terms of increases. The labor wages are anywhere between 3% to 10% depending on the region, of course where you are. So, you can imagine that on an average level, we are much higher than the 1% net increase that we are foreseeing. So, we do see the impact of economies of scale from that perspective. Now, we always also said from an OpEx perspective, we were not growing as fast as the sales growth and that we will be having to catch up for that. And that is what we have embedded in the 2022 guidance, so the fact that we will be back to these levels. Of course, on the total level, including Paramit in percentage terms, this will be lower, but still at the level of probably 2021. So, I hope that a little bit more gives a flavor on the margin and why we have guided for 2022 and why we are also confident that beyond 2022, we will be able to improve it, as Achim mentioned it, and as we planned still.
Chris Gretler: Okay. Yes. No, that’s very helpful. Maybe my last question is just a technical question. Maybe could you discuss the CHF14 million amortization of acquired backlog charge that you took as part of the transaction? I mean I am not so familiar with this not specific accounting treatment, but it’s a bit of unexpected, let me put that way. Could you maybe discuss that quickly in detail?
Tania Micki: Sure. I mean when we have looked at the PPA for Paramit, we had to take into consideration the different elements. And of course, the main element is the customer relationship and then their system, the report system. Nevertheless, as you say, I mean we also have to consider the order backlog that we were acquiring because it was quite a significant amount. So, we had to consider to amortize this order backlog over six months. So, it’s a fairly short useful life. And that’s the reason why there was such a high impact in the first five months. The total order backlog was CHF16.2 million. We are amortizing – we amortized CHF13.7 million in the first five months. And we have a further CHF2.7 million that will be amortized or was recorded in January this year. So, that’s the total impact of this order backlog. But to your point, it is an accounting treatment, yes.
Chris Gretler: Or is it like an inventory step-up that you take, for example, in some other acquisitions, you write backlog to more fair value and then basically in order to have a kind of a higher base and also from tax purposes, I guess?
Tania Micki: I mean, I can come back to you with a more specific explanation on that. But yes, it’s a bit...
Chris Gretler: Okay. Thanks and let me get back.
Achim von Leoprechting: Next question.
Operator: The next question is from the line of Igor Kim from Bloomberg. Please go ahead.
Igor Kim: Sorry. This is Igor Kim from Berenberg. A couple of questions on top line on revenues. In Life Science, the performance was better than your OEM. And do you think that for ‘22, we should expect a similar pattern, that means that Life Sciences should help better than OEM business? And second question is also related to that. Could you give some color on your reagents and services business, especially in Life Science, because I believe that reagents should have picked up in the second half of the year, and that probably helped to keep the top line growth in Life Sciences in a better shape than compared to the OEM business. And installed base that you currently have, does it help to propel services revenues? Do you already see that? Thank you.
Achim von Leoprechting: Yes. So, good morning Igor and thanks for the questions. Maybe I will start off with the dynamics that we have seen and maybe also with some comments, particularly on the difference between organic Partnering business and now including Paramit, of course. As you highlight, our Life Sciences division has been very focused in 2021 to take advantage of our elevated brand recognition access that we gained throughout COVID in existing accounts, but also I think, as I have mentioned before, gained access to quite a few new and in many cases sort of competitive accounts globally, and we also unlocked some new territories even under the COVID pandemic. So, that gives us also, I think a lot of momentum right now and we have seen that in the second half, which is why we are investing quite a bit in sales and marketing. But also as you indicate in service because we want to make sure that everyone that got the instrument and the solution from us continues to buy consumables, service, spare parts and wherever possible, also some of our reagents or functional consumers. And we see that momentum developing quite nicely. And which is why I think looking in 2022, I don’t see any reason for that to slowdown. I think we are the opposite. And the other comment I would make is, of course, now with the launch of new products that I mentioned, some more pronounced like the MagicPrep NGS, but also a continuous improvement and I would say, upgrade of solutions around software, digital tools, and reagents and consumers gives us that, I think broader base of pull-through revenue that we were always kind of aiming at. So, I think very, very good momentum there. On the Partnering side, actually, very pleased with the development. However, the dynamic and particularly, when I look now in isolation for the organic part of the Partnering business, we have seen of course a bigger, I would say, contribution to COVID and then also normalization of COVID, particularly with some large partnerships that we gained and grew specifically due to COVID. So, I think when we look at the second half dynamic, we are very happy to see that the non-COVID-related businesses like in cancer diagnostics, like transfusion medicine, any other infectious disorder-related businesses for our OEM division developed very positively as well as the components business, which has been growing exceptionally in the second half of 2021. So, again, good momentum there. However, like I said, we had some very big partners in there that are very specifically tuned into COVID, one in North America based and quite a few in China that, of course now kind of take that dynamic a little bit more pronounced. Going forward, like I said, equally to the Life Science division, very pleased with new programs coming to market. I can say that we have launched earlier this year, one of the big Partnering business programs that I spoke about some time ago. I am not as limited to disclose who the partner is or what the application is, what I can say, it is also in the field of advanced genomics in the in vitro diagnostic environment with the substantial global partners. So, with all that said, I think for Partnering very, I would say, happy with the development. Of course, we have to digest, as I said, bit more of the COVID-related fluctuation and normalization, but we are very I would say, look positive on the momentum. And then on Paramit, the same comment is true and you may recall, Paramit had no COVID-related tailwind. So, I think most, if not all, of what they have done has been affected by headwinds. So, very pleased now with the recovery of the accounts, very strong order book for the Paramit related business, but also a very good influx of new partners and programs that we are working on right now to the extent that we are actually investing more than originally planned in research and development resources in North America just by the sheer momentum that we see in customers demanding engineering development and production services of Paramit. So, I think with that, probably I just pause there, but I think just to say, very happy with the dynamic. But it’s not like we are kind of looking at Life Science division more favorably than the Partnering division. They just come with different dynamics.
Igor Kim: Okay. Thanks.
Martin Braendle: Maybe quickly, I mean some questions from the chat were answered as well. Maybe two quick ones, Tania here, one question is what kind of organic growth rate do you expect in 2022? I mean it was kind of mentioned maybe you want to repeat it?
Tania Micki: And we mentioned it also in the press release that we said we are offsetting most of the COVID-related fall from 2021. So basically, what we are saying, we do not expect to keep from the goal that we have seen before, COVID-related to now the normalization. Of course, it also depends on the sustained level of tailwind coming from the COVID-related consumables and to a larger degree of the speed and extent of recovery for other areas. For LSB, we are seeing already some strong underlying trends. And we believe that the pandemic has strategy reshape lab processes overall, which means that we are seeing quite an increased demand in the automation of the laboratory. PCR is a bit more difficult as we experienced significant tailwind largely from a defined number of accounts, also new accounts like Thermo Fisher with a dedicated COVID background. So here, we expected revenues from these accounts will be significantly reduced. So, you see there the two sort of going against each other trends.
Martin Braendle: Maybe another one from the chat, to which extent are you able to finance further acquisitions?
Tania Micki: And you have seen we have a net debt position of CHF9.2 million. So, that is very close to breakeven. So, we do have a strong cash position, which we will improve this year. And we still have a strong pipeline in our M&A target. So, there is still possibility of bolt-ons and we are replenishing fast our cash potential. So, I think from that perspective, we have good still prospect from the M&A side.
Achim von Leoprechting: As Tania said, I think we are very pleased with the M&A funnel as it kind of presents itself today. But as always, we are kind of keeping a cold head and looking at opportunities in there, justification against our strategic priorities. But as Tania said, feeling very good about the opportunity to tactically kind of look at some of these projects with probably a bit more traction right now in ‘22. But again, we are not forecasting or promising anything, but it is absolutely within reach again to kind of start the engagements. And we see pretty god, I would say funnel of companies maybe also as a reflection to the IPO market that has become substantially more difficult for some companies. But it’s a whole mix of privately owned and other companies that we typically look at.
Martin Braendle: Next question from the phone, operator?
Operator: The next telephone question is from the line of Sebastian Vogel from UBS. Please go ahead.
Sebastian Vogel: Hello and good morning. I got a question on order and sales and the relationship between them. I mean looking at 1H orders and looking how much in 2H you sort of realized into sales. It seems like there is quite a big shift or there is something that has not happened in the second half, but most likely will happen then in the first half of next year. Is there some way of quantifying that?
Tania Micki: No. I mean, do you mean to quantify what the increase of the – sorry, can you just repeat?
Sebastian Vogel: Yes. To quantify the sort of orders that were supposed to be realized in sales in the second half of 2021, but most likely will, because of some reasons, realized in 2022.
Tania Micki: Yes. I mean, of course we – it was not such a significant increase, but that is mainly the increase in the backlog that we have seen.
Sebastian Vogel: And that means you will get some sort of CHF50 million or CHF60 million tailwinds in 2022 from that or can you sort of clarify that it’s a little bit more palpable in that regard?
Tania Micki: No, it’s much lower than that. But it’s embedded in the guidance already. It’s embedded in the guidance. I am sorry, just to make it more clear.
Sebastian Vogel: Thanks. The other one is with regard to the integration costs of Paramit. If I compare that with my notes from the last time, it seems like you have increased the guidance of the integration cost for 2022 compared to what you said previously. What is driving that? And certain terms of overall integration cost for the years thereafter we could think of?
Tania Micki: Yes, that’s correct. I mean it’s mainly a timing where we actually were planning on spending more in 2020, and we spent a little bit less. And then we also are planning to have faster integration. So, from that perspective, our 2022 indeed has increased compared to the guidance we gave last year.
Sebastian Vogel: And then the integration cost then sort of finished with 2022, or will be there some ongoing ones thereafter?
Tania Micki: And there will be some as well thereafter because the plan is to finish in 2023, the full integration, but it should be on a lower of course level than 2022.
Sebastian Vogel: Thanks.
Martin Braendle: Do we have another question on the phone?
Operator: Yes. We have a follow-up question from Maja Pataki from Kepler. Please go ahead.
Maja Pataki: Yes. Thank you very much. Two questions, if I may. With regards to Paramit, but also your own instruments, are you seeing a worsening in the supply situation for components and stuff? Is that something that you feel has gotten worse over the last couple of months? That’s the first question. And the second question with regards to Paramit. Do you believe that there is something like maybe a pent-up demand that could play favorably into the mechatronics business because we have seen the hospital business being subdued due to COVID the last 2 years?
Tania Micki: So maybe Maja, I will take question one. And on the components or supply issues that we see, I mean first of all on Paramit, we clearly are seeing some issues from the chips perspective. That’s where this supplies the biggest issue for us at the moment, but it’s more a time issue than anything else. And that, by the way, is one of the reasons why our inventory have increased. I mean I have seen one of those questions in the chat. That’s the reason for the increase on the inventory side. On our instruments for the timing, we did not see specific impact from the supply chain perspective. But of course, this is something that we are monitoring very carefully. And that’s where we are trying as much as possible to anticipate our demand and the potential bottlenecks that we are seeing. But mainly, again today, it’s on the Paramit side versus our own instruments.
Achim von Leoprechting: Yes. And Maja on your second question, in the demand situation at Paramit, we are seeing a very healthy and strong demand at Paramit. And we are hearing also from their customers, as you illustrate, there is a high kind of need for – in areas like robotic surgery, but also quite a few other kind of patient monitoring systems and others. So, I think when I look at Paramit and the development right now, I think most customers that we speak to are quite positive about 2022 and the dynamic right now. As Tania said, we are working with Paramit right now on mitigating some of the supply, particularly the microchip or semiconductor situation, that is maybe a little bit more pronounced at Paramit than at the rest of Tecan, just because of the kind of magnitude of suppliers that they are working with right now. But from a demand perspective, very, very positive on the feedback and the market momentum, including the order backlog that we are seeing from Paramit.
Maja Pataki: Perfect. Thank you very much.
Martin Braendle: One more question from the phone.
Operator: The next question is from the line of Holger Frisch from ZKB. Please go ahead.
Holger Frisch: Yes. Good morning. Thank you for taking my question. Just I have a question on the recurring revenues in 2020 share of recurring revenues was 44%, close to 44%. Can you say how this has developed in 2021? And what was the share of recurring revenues maybe in 2021 ones for Tecan without Paramit and ones measured against the total sales? And then second one would be – yes, maybe take it one by time, one-by-one.
Tania Micki: Okay. So, this one for consumables, as you said, 2020 was 43.6%. And based on organic sales, so excluding Paramit, this increased to 44.7%. Of course, with Paramit, which has a very low base of recurring services, this was 39.5%.
Holger Frisch: Okay. Great. Thank you. And then in terms of bolt-ons, can you give us a ballpark figure, what you consider bolt-ons? Is it like 5% of sales, 10% of sales?
Achim von Leoprechting: I would probably say it is smaller than the Paramit acquisition. So, we typically don’t think in these kind of categories, but it’s more like what do we see as, I would say, strategic options that we have to acquire that boost our own kind of ambitions in this space of genomics, project analytics, cell and tissue and maybe also now going forward in the medical to some extent, when it comes to components, modules and engineering capabilities. So for me, a bolt-on would be, for example, characterized as a new modality that we want to add to our Life Science business for a new class of consumables and reagents that we can bolt-on that does not require typically the known kind of operational footprint necessarily. And as you know, with the acquisition of Paramit in particular, but also the footprint we have by now globally, I believe we have very good hubs of integration going forward. So, when we think about bolt-ons, is probably less limited by the revenue profile. It’s more geared towards strategic fit, complementary skill sets and products but also our ability to then add them to our facilities in the U.S., in Europe and in Asia rather than fragmenting us out necessarily further. So, I think there is a whole combination of things in there. But as I mean we think about bolt-ons probably, I would characterize them in the area of somewhere between CHF50 million to CHF100 million revenue.
Holger Frisch: Okay. Great. Thank you.
Martin Braendle: Good from the phone, I think that’s it. On the chat, I am looking at the chat, I mean here is one on the consumables going forward for 2022 to be stable.
Achim von Leoprechting: Yes, maybe I can take this. So, I mean clearly, as we are looking at an installed base that is particularly driven through COVID, but also through non-COVID build-out globally, we believe that the consumable pull-through will be on elevated levels even if COVID testing will go entirely away, which of course, is one of the scenarios we are looking at for 2022. The other element that we are kind of seeing right now is that we see other consumables being pulled in the installed base, because what I said earlier, our systems are not COVID-only products, they are and most of them are already be converted to multipurpose machines the test for COVID at the moment, but also for a variety of other infectious diseases and other kind of disease states overall. But there is also now, of course, an entirely new segment of instruments and solutions that have and had nothing to do with COVID. So, I think consumers will stay on elevated levels just because of the installed base and the menu expansion. We expect spare parts to be, of course in relation to these instruments as many of the instruments over the last 2 years have been used at very high utilization levels, some of them 24/7, which is not entirely usual. So, we expect some acceleration on the spare parts and service element too. And I think we also mentioned quite happy with the development of reagents and other elements to be aimed to add to the workflows like sequencing library prep workflows. And again, I think we have a very good range of differentiated reagents there, making good inroads with what we call the DreamPrep system that is giving us access to not just the instrument and spare parts and service, but also consumables and reagents, very good dynamic in the past year. And the other – I just mentioned the launch of MagicPrep, of course, is a perfect example for a system that has a significant ability to pull through cartridges and reagents that we also produce in-house. So, I think we are constantly adding capabilities and menu a, to the existing systems, but also the systems we are selling to constantly increase the contribution of recurring revenues.
Tania Micki: And maybe just to quantify, for 2022, we expect the consumables business to be related to COVID testing to be below 2020 and of course, below 2021. And all-in-all, the total consumable business to be between 2020 and 2021 levels. And that is based on the higher installed base of instruments that Achim mentioned with the broader test menu.
Achim von Leoprechting: So with this, I think we are at the end of the Q&A section, and I probably take the opportunity to thank you once again for your participation and questions this morning, and looking forward to speak to you very, very soon. Thank you very much.
Martin Braendle: Thank you.
Tania Micki: Thank you.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.